Operator: Good morning, ladies and gentlemen, and welcome to the Fourth Quarter 2025 Results Conference Call. I would now like to turn the meeting over to Ryan Hanley. Please go ahead, Mr. Hanley.
Ryan Hanley: Thank you, and good morning, everyone. As mentioned, we would like to welcome you to Major Drilling's conference call for the fourth quarter of fiscal 2025. With me on the call today are Denis Larocque, President and CEO; and Ian Ross, CFO. Our results were released last night and can be found on our website at www.majordrilling.com. We also invite you to visit our website for further information. Before we get started, we'd like to caution you that during this conference call, we will be making forward-looking statements about future events or the future financial performance of the company. These statements are forward-looking in nature, and actual events or results may differ materially from those currently anticipated in such statements. I'll now turn the call over to Denis Larocque, President and CEO.
Denis Larocque: Thank you, Ryan, and good morning, everyone, and thank you for joining today. For those of you who were on the call around the same time last year, you may remember that I started off by congratulating our employees for setting a new safety record. This year, I'm very proud to begin the call in the same fashion. For fiscal 2025, we continue to build on our industry-leading safety stats with our total recordable incident frequency rate of 0.74, marking yet another new record for the company. I'd like to once again thank our employees for maintaining such a strong safety culture as well as their continued enthusiasm, dedication and loyalty. In addition to setting a new safety record, fiscal 2025 also marked a pivotal year for the company as we successfully completed the acquisition of Explomin, increasing our presence in the South and Central American region by adding operations in Peru, Colombia and the Dominican Republic. We also continued the development of our drill side geosolutions, including our partnership with DGI and KORE GeoSystems, which was announced earlier in the fiscal year. These advancements, along with the ongoing deployment of our proprietary Rock5 system and other innovations like the integration of our hands-free rod handling systems continue to demonstrate our commitment to staying on the leading edge of technology, providing our customers with important incremental data as well as tools to help our crews stay safe. Turning to the fourth quarter. As expected, we experienced a slow start to the year due to delayed mobilization related to the economic uncertainty around tariffs with many programs only starting their ramp-up in March and April. While this resulted in training, mobilization and start-up costs impacting our revenue and margin, we expect to see the benefits as early as next quarter. I'll discuss more of the outlook after Ian walks us through the quarter's financials. Ian?
Ian Ross: Thanks, Denis. Revenue for the fourth quarter was $187.5 million, up 11.6% from the $168 million recorded over the same period last year, driven by continued strength in the South and Central American region, but partially offset by Canada and the U.S., which was impacted by delayed start-ups and limited junior exploration budgets. The favorable foreign exchange translation impact on revenue when compared to the effective rates for the previous year was approximately $5 million, while the impact on net earnings was minimal. The overall adjusted gross margin percentage, excluding depreciation, was 22.8% for the quarter compared to 26.9% for the same period last year. The decrease in margins was mainly attributable to increased start-up, training and mobilization costs as programs ramped up through March and April. G&A costs were $20.9 million, an increase of $3.5 million compared to the same quarter last year due to the addition of Explomin, along with our annual inflationary wage adjustments. The income tax provision for the quarter was an expense of $700,000 compared to an expense of $2.4 million for the prior year period, decrease was driven by reduced profitability. Company generated EBITDA of $20.5 million in the quarter compared to $25.3 million in the prior year period, with net earnings of $1 million or $0.01 per share compared to net earnings of $9.9 million or $0.12 per share for the prior year period. The company ended the quarter with $3.9 million in net debt as the typical fourth quarter working capital requirements of a busy ramp-up period temporarily impacted the cash position. With total available liquidity of $123 million and cash flow projected to increase, the company remains well positioned heading into the new fiscal year. In line with our fleet modernization strategy, the company spent $18.6 million on capital expenditures in the quarter, adding 7 new drill rigs and support equipment while disposing of 4 older, less efficient rigs, bringing the total rig count at quarter end to 708. As we look forward to fiscal 2026, the company expects to spend approximately $70 million on CapEx to support elevated activity levels and equip our industry-leading fleet with the latest technology. The breakdown of our fleet and utilization in the quarter is as follows: 303 specialized drills at 41% utilization, 162 conventional drills at 40% utilization and 243 underground drills at 49% utilization for a total of 708 drills at 43% utilization. As we've mentioned before, specialized work in our definition is not necessarily conducted with a specialized drill. Rather, it is work that requires we meet the rigorous standards of our customers in terms of technical capabilities, operational and safety standards and other related factors. In the fourth quarter, specialized work accounted for 60% of our total revenue. We continue to see high levels of demand for our specialized services and expect this trend to continue as deposits become increasingly more challenging to find with discoveries continuing to be made in remote locations. Conventional drilling, which is mostly driven by juniors, remained low at 12% of our revenue for the quarter, while underground drilling contributed 28% of total revenue as the company continues to look for diversity in its revenue streams, particularly with the recent addition of Explomin. We continue to see the bulk of our revenue driven from seniors and intermediates, representing 92% of revenue this quarter as they continue their elevated efforts to address depleting reserves. Junior activity remained impacted by a lack of access to capital and made up only 8% of our revenue in the fourth quarter. In terms of commodities, gold represented 41% of revenue in the quarter, driven by record high gold prices, while copper accounted for 35% of revenue, having increased from the beginning of the fiscal year due to the Explomin acquisition. Iron ore continues to make a meaningful contribution at 11% of revenue, driven by continued strength from our Australian operations and demonstrating the diversity in the commodities for which we drill for around the world. With that overview of our financial results, I'll now turn the presentation back to Denis to discuss the outlook.
Denis Larocque: Thanks, Ian. While delayed mobilization impacted our revenue and margins in the quarter as expected, activity levels continue to ramp up. Given the sharp increase in activity, we expect revenue in the first quarter of 2026 to increase by approximately 20% when compared to what was just reported in Q4. While we don't plan to give quarterly guidance of this nature going forward, we thought it was important to quantify in this one instance given the magnitude of the anticipated revenue increase. We also expect margins to improve from Q4, although we continue to mobilize rigs through May and into early June. With year-over-year increases in exploration budgets to having now been released by several senior mining companies, we believe that this should lead to a strong fiscal 2026. Concurrently, while junior miners continue to face challenges in raising equity, the slow increase in both quantity and size of financings over the last few weeks may also prove to be a source of additional demand for drilling services. Despite the pressing need to replenish reserves for both gold and critical metals, exploration spending has not yet caught up to levels required to address this issue as global exploration spending in 2024 only represented 60% of what was spent in 2012, the last time the industry faced such a supply crisis, and that's still in non-adjusted dollars. Future deposits are expected to continue to come from areas that are increasingly difficult to access, thereby requiring increasingly complex drilling solutions. As the industry leader in specialized drilling and innovation and with the industry's largest and one of the most modern fleets, major drilling remains very well positioned to take advantage of this opportunity. As we close out our fiscal 2025, I must say that I am proud of the progress we've made with our offering in the field through innovation, and I'm excited at the further progress we'll make as we move into 2026. I'd like to once again thank our more than 5,400 employees around the world for their continued enthusiasm, dedication, loyalty and most of all, great ideas, all of which are qualities that make us such a successful and productive company. With that, we'll open up the call to questions. Operator?
Operator: [Operator Instructions] Our first question is from Donangelo Volpe from Beacon Securities.
Donangelo Volpe: Okay. First question for me, I guess. I just wanted to kind of get a bit more color on which pockets you are seeing the most increases in activity levels for April. North America actually came in ahead of my expectations. So I was kind of wondering if you could give more specifics on if activity levels in North America are increasing.
Denis Larocque: Yes. And basically, you're right, what -- the increase in activity that we're seeing is coming from North America, but also Chile and Peru. And so -- and it's coming from both commodity groups. Obviously, Chile and Peru are driven by copper, and we're seeing that continuing. And then there is also gold-related programs that are ramping up as well.
Donangelo Volpe: Okay. And then just moving over to the addition of 7 rigs and disposal of 4. Given that North America is improving, were some of those rigs added to North America? Or was that predominantly to aid in Explomin operations where majority of those rigs go to South America?
Denis Larocque: Yes. As you can appreciate over the last year with the slowdown we saw in juniors, and I mean, when you look at our numbers, there was a slowdown in North America. So we do have excess capacity in North America. So we didn't need to add to that. So really to answer your question, most, if not all of those rigs went to South America to basically ramp up in already busy regions.
Donangelo Volpe: Okay. Perfect. And then I guess last one for me. Just regarding Australasia and Africa, can you just provide some color on what you guys are seeing there in terms of the market? I was modeling a flat year-over-year performance. I think it was a slight decline this year. So just kind of wondering what you guys are seeing there.
Denis Larocque: Yes. That region is -- basically, we have -- it's all seniors, and it's a very stable business. And basically, we see that continuing, that stability continuing. In terms of the slight decrease, it just ebbs and flows. Sometimes seniors will add a few more rigs or basically slow down and readjust. So -- but again, that region has been doing really well for us and been very steady over the years.
Donangelo Volpe: Okay. Perfect. I appreciate the color. I'll hop back on the queue.
Operator: [Operator Instructions] Our following question is from James Vail from Arcadia Advisors.
James A. Vail: You're the reason for my question. The fact that you said what revenues are going to be in the first quarter almost knocked me off my chair. But anyway, the contracts that are causing that type of revenue, they can't be over and done with in 1 quarter. Isn't that correct? Is that a good assumption?
Denis Larocque: Yes. No, it is a good assumption. It is a reflection of the increase of the senior budget. Basically, seniors have increased their budget given the commodity prices and the need for metals. And I -- basically, on the metal side, I've been saying for a long time, people were -- be asking me over the years. I've been saying that there's a supply shortage of copper for -- you probably have heard me say that for a little while. And when I would get asked about what's the catalyst? What's -- at what point do you think things could pick up? And my answer was always, well, when the supply shortage becomes a Main Street story and not just a Wall Street or Bay Street story. And you just have to watch the news over the last, well, just a few weeks, whether it's in Canada, whether it's in the U.S. or even globally, and you can't go one day without critical minerals being mentioned or critical metals or -- being mentioned as -- and governments needing to do -- take steps to improve and to go look for it, and there were still articles again this morning on that. So I think that increase in budgets from seniors is indicative of that, the need to find more. And we're -- basically, that's what we're seeing.
James A. Vail: Okay. Well, I mean you mentioned it. I'm looking at mining.com. I don't know if you look at that, but Ivanhoe is slashing its 2025 copper guidance by 28%. So it's falling right into [indiscernible]. Okay. You've answered by questions as usual, Denis. All the best.
Denis Larocque: Yes. Thank you. And by the way, Jim, I'm looking at your old building at -- the windows of your old office right now.
James A. Vail: Oh, really? Are you in New York now?
Denis Larocque: Yes, it's -- there's a mining conference going on in New York this week.
James A. Vail: Yes, I saw that. I was tempted to come in for that, but I just got overcome by inertia. Yes, I haven't been there in a long time. Anyway, all right. Good luck.
Denis Larocque: Okay. Well, thank you, Jim.
James A. Vail: So long.
Operator: We have no further questions registered at this time. I would now like to turn the meeting back over to Denis Larocque.
Denis Larocque: Well, thank you for listening. And again, we're quite excited about the year coming up and looking forward to it. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.